Operator: Greetings and welcome to CorEnergy’s Third Quarter 2018 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Lesley Schorgl. Thank you. Please go ahead.
Lesley Schorgl: Thank you for joining CorEnergy Infrastructure Trust third quarter 2018 earnings call. I am joined today by David Schulte, CEO and President and Rick Green, Executive Chairman. As a reminder, the presentation materials for this call, as well as information included in our press release issued Wednesday and an audio replay of this conference call will be available on CorEnergy’s website. The statements made during the course of this presentation that are not purely historical maybe forward-looking statements and are subject to the Safe Harbor protection, available under the applicable securities laws. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in our filings with the SEC. These documents are available on the Investor Relations section of our website. We do not update our forward-looking statements. Reconciliations between GAAP and non-GAAP results, which we discuss on this call, can be found in our related earnings release and 10-Q filing. President and CEO, Dave Schulte, will now speak to you about CorEnergy’s third quarter and recent events.
David Schulte: Thank you, Lesley. We appreciate everyone for joining us today. Last week, CorEnergy declare a $0.75 quarterly dividend beginning its fourth year of consecutive dividends at this level and demonstrating the resilience of our business model even during times of market volatility. Regarding our portfolio, as previously announced, the tenant of our largest asset, the Grand Isle Gathering System, which served approximately 40% of the total reserves held by Energy Gulf Coast, has been acquired by Cox Oil. Cox Oil is a privately held operator in the Gulf of Mexico and they paid approximately $320 million for the stock of EGC. The GIGS lease agreement has been assumed by the new owner of EGC as part of that transaction. Also, we received participating rents from Ultra Petroleum last quarter for the use of our Pinedale Liquids Gathering System for volume increases over our baseline. Ultra recently announced its capital plans and goal of keeping volumes flat during 2018 and 2019. Ultra also increased its liquidity during the quarter with an asset sale and announced debt exchange lengthening out their maturities. Moving to Slide 4, I would like to remind investors of the consistency of our operational performance both quarter-over-quarter as depicted on the slide as well as year-over-year. The main source of variance over last year has been the sale and valuation of legacy equity investments from our time as a business development company prior to converting to a REIT. The steadiness has allowed us to continue paying a stable dividend currently at $0.75 a quarter and maintain a level of dividend coverage that we feel comfortable with given our need to reinvest in new assets in order to offset the depleting terminal value associated with some of our larger assets. Turning to Slide 5, you will notice that our capital structure remains conservative and flexible with our total debt to total capitalization ratio at the low end of our target range and our preferred to total equity ratio at 29%, which is below again our 33% target range. Our credit facility is borrowing base driven and we had approximately $148 million of availability at quarter end, which we intend to prudently manage considering the status of our borrowing base assets and we believe this as well as our cash balance will provide ample liquidity to act on a number of transactions we have in our pipeline today. On Slide 6, we discussed our initiatives for the remainder of 2018 and into early 2019. We continued to move forward with the MoGas rate case at the FERC and we will update the market as key milestones in that process are met. We expect to initiate our de-leveraging plan including the potential preferred stock repurchases which were authorized last quarter for up to $10 million. We do not expect de-leveraging to materially affect our borrowing base. Finally, we continue to evaluate potential acquisitions within our target range of $50 million to $250 million. Although we have no deals to announce today, we have several opportunities that are follow-on and diligence and which have the potential to close by the early part of next year. I would now like to open that line to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Selman Akyol with Stifel.
Selman Akyol: Thank you. Good afternoon. Prior to the acquisition by Cox Oil for GIGS you were willing to have some conversations with them regarding lease. I am wondering have you had any of those conversations with Cox now that they have acquired it or anything on the calendar?
David Schulte: No, Selman, nothing discussed, nothing on the calendar and nothing expected. When Cox announced the acquisition, we did evaluate whether they had any conditions in the proxy that we need to be aware of, there were none, Lisa has just assumed in a regular way that it was intended to be for a change of control transaction and we have had conversations of similar type since the announcement with either the old management team or the new.
Selman Akyol: Okay, very good. And then can you just remind us, what are the milestones you are looking for in the MoGas rate case?
David Schulte: There are time-based activities that we haven’t filed our proposed rate, so we announced that when we did and now there are discovery procedures where the FERC regulated process and FERC overseen process by an administrative judge goes about confirming that all parties have had a chance to ask questions and get information and it’s that discovery process that we have been in basically since the filing. And just to be reminding everybody the rates do take effect in December of this year subject to potentially rebate later, but does tend to put some high level of activity around bringing this case to conclusion in the next couple of months. That’s what we would expect to happen.
Selman Akyol: Okay, thanks very much.
Operator: Thank you. [Operator Instructions] And our next question is from the line of Michael Zuk with Oppenheimer.
Michael Zuk: Good afternoon, Dave.
David Schulte: Good afternoon.
Michael Zuk: Any update on the progress that’s being made with the Fort Leonard Wood project?
David Schulte: We did announce that earlier this year, Michael. And I am remising not bringing it up, it’s just that there hasn’t been any material news. We have been working on project proposal to provide to the DoD together with our partner in that project and we would expect with the timing of their consideration to have some announcements in 2019 with an expectation of once approved starting construction of those projects next year.
Michael Zuk: Okay, well. Fair enough. We will until the bureaucracy gets back to us I guess.
David Schulte: The good and the bad of having one customer is that we are in their timeline.
Michael Zuk: Understand. Otherwise, congratulations on being good stewards for the shareholders.
David Schulte: Thank you very much.
Operator: And it seems that we have no further questions. I would like to turn the floor back to management for closing comments.
David Schulte: We do appreciate our fellow shareholders time today. We will update you again in connection with our annual results early next year unless we have material events that happened sooner than that, in which case of course we will be informing the market on a timely basis. Thanks again.